Operator: Ladies and gentlemen, thank you for standing by, and welcome to Custom Truck One Source's Third Quarter 2023 Earnings Conference Call. Please note that this conference call is being recorded. I would now like to hand the conference over to your host today, Brian Perman, Vice President of Investor Relations for Custom Truck. Please go ahead.
Brian Perman: Thank you. Before we begin, we would like to remind you that management's commentary and responses to questions on today's call may include forward-looking statements, which, by their nature, are uncertain and outside of the company's control. Although, these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the risk factors that could cause actual results to differ, please refer to the Risk Factors section of the company's filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during the call in the press release we issued today. That press release and our quarterly investor presentation are posted on the Investor Relations section of our website. We filed our third quarter 2023 10-Q with the SEC this afternoon. Today's discussion of our results of operations for Custom Truck One Source Inc., or Custom Truck is presented on a historical basis as of or for the three months ended September 30, 2023, and prior periods. Joining me today are Ryan McMonagle, CEO, and Chris Eperjesy, CFO. I will now turn the call over to Ryan.
Ryan McMonagle: Thanks Brian, and welcome, everyone, to today's call. I'd like to begin by thanking all of our employees, customers and suppliers who continue to support our business and helped us deliver another strong quarter. The entire Custom Truck team delivered record levels of production for the third straight quarter, which has enabled us to add new vehicles to our rental fleet to meet continued strong demand for new equipment and to fulfill our goal of providing unparalleled service to our customers, and we continue to demonstrate the value of the One-Stop-Shop model with our ability to pivot between product categories and between selling and renting equipment as the markets dictate. For the third quarter of the year, we delivered strong year-over-year revenue, adjusted gross profit and adjusted EBITDA growth. We generated $434 million of revenue, $150 million of adjusted gross profit and $100 million of adjusted EBITDA in Q3, up 21%, 14% and 9%, respectively, versus Q3 of last year. Our third quarter results align with our expectations that our business this year will reflect the benefits of improving supply chain performance, moderating inflation and continued operational excellence by the team. Long-term demand remains strong in each of our strategically selected end markets, utility or T&D, infrastructure, rail and telecom. We have experienced volatility over the past few months among some of our utility customers that impacted Q3 results and will be a headwind in the fourth quarter. But these markets continue to offer compelling long-term growth opportunities well in excess of GDP, which we believe should continue for the foreseeable future and is consistent with what the publicly traded utility contractors have reported this quarter. We see continued strong demand in our new equipment sales and backlog and in the performance of our rental fleet. As has been the case since late last year, in the third quarter, we continued to experience robust demand from our customers to purchase assets in the rental fleet. We see all these as positive leading indicators for sustained future demand. The ERS segment experienced 12% year-over-year revenue growth. We continue to see demand for rental equipment, and we remain focused on rental pricing and the amount of time it takes to turn a piece of equipment and make it available to go back on rent, both of which positively impact rental adjusted gross margin. In the quarter, average utilization was just under 79%, which is historically very strong. As we discussed on last quarter's call, we experienced a decline in utility distribution equipment utilization in Q2, which we believe to be temporary and primarily related to our customer supply chain delays. This proved out in the third quarter, while average utilization was down sequentially, we ended the third quarter with utilization at over 81%, a 400-basis point improvement from the intra-quarter low. While new transmission projects continue to be announced, we did not see the normal uptick in transmission equipment utilization, which after speaking with our customers, we attribute to supply chain and funding delays on some projects and expect will pick up later this year and into 2024. We continue to invest strategically in our rental fleet and sell certain aged assets, albeit at a slower pace in Q3 relative to the first two quarters of the year. This resulted in the continued reduction of our fleet age to 3.5 years, which we believe remains the youngest in the industry. We expect to continue to invest in the fleet for the remainder of the year as demand remains robust. In the TES segment, we sold $231 million of equipment in the quarter, a 33% increase compared to Q3 2022, resulting in a 32% increase year-to-date. Additionally, gross margin improved by almost 160 basis points versus Q3 of last year. In line with our expectations that our TES backlog would start to moderate, backlog ended the quarter at $779 million, up 10% versus a year ago and down from last quarter. Record levels of production and our continued strong new equipment sales in the quarter allowed us to make headway towards reducing our backlog to a more normalized level. This past quarter's TES results point to continued good demand for new equipment. We are seeing new orders and certain end markets accelerate while other end markets are slowing, again demonstrating the value of our One-Stop-Shop model. Our strong and long-standing relationships with our chassis, body and attachment vendors are key to our record production, and we continue to work closely with them to address supply chain issues as they arise. We continue to see an increase in equipment availability from our chassis and attachment suppliers, which positions us well to meet our production, fleet growth and sales goals for the fourth quarter and into next year. Strategically, we remain focused on investing in and optimizing our production capacity and service footprint to ensure that we deliver the product and service levels our customers expect from us. As we discussed on last quarter's call, the work at the Union Grove location is complete and the new capacity is online. The expansion in Kansas City is expected to be completed this quarter. These investments will ensure that we have sufficient capacity to meet our future growth targets for both our rental fleet and new equipment sales as well as be a catalyst for growth in our APS segment. As we look ahead to the rest of the year, we believe that our year-to-date results, favorable end market tailwinds, robust customer demand, improving supply chain dynamics and continued outstanding execution by our team, all provide Custom Truck with the momentum to continue to deliver strong revenue, adjusted gross profit and adjusted EBITDA growth. While Chris will discuss our 2023 outlook in greater detail based on year-to-date performance and the outlook for the remainder of the year, we are increasing our projected total revenue guidance range to $1.765 billion to $1.87 billion and affirming our adjusted EBITDA range of $425 million to $445 million. In closing, we know our employees are the key to delivering the unequaled customer service and outstanding financial results we saw in the third quarter. And I'd like to extend a sincere thank you to them. I will now turn it over to Chris.
Chris Eperjesy: Thanks Ryan. Q3 was another strong quarter. End market demand remained strong, resulting in total revenue of $434 million, up 21% compared to Q3 2022. Adjusted gross profit was $150 million, up 14% year-over-year, resulting in an adjusted gross margin for the quarter of over 34%. Adjusted EBITDA was $100 million, a 9% improvement compared to Q3 of last year. Adjusted gross profit and adjusted EBITDA growth lagged revenue growth largely because of segment revenue mix. While all of our segments experienced year-over-year growth, rental asset sales and TES revenue, which have a lower average gross margin associated with them than our equipment rental business comprised 65% of total revenue in Q3 2023 versus 59% in Q3 of last year. SG&A was $57 million in Q3 or 13.1% of revenues, an improvement versus 13.9% in Q3 2022. Net income for the quarter was $9.2 million, the fourth consecutive quarter of positive net income. Ryan referenced our continued strong performance within our ERS segment. For the quarter, average utilization was just under 79%, which was the primary cause for a 4% sequential decrease in average OEC on rent. Year-to-date, average utilization is over 81%. Given the rebound we experienced in utilization at the end of the third quarter, average OEC on rent also rebounded, ending the quarter at just under $1.2 billion. On rent yield was almost 41% for the quarter, a 230 basis point year-over-year improvement, which highlights the benefits from previously announced pricing actions implemented since the beginning of the year. Year-to-date, realized rental rates on our core product, which comprises T&D and related equipment representing 90% of our OEC are up 7% versus the same period in 2022. We continue to invest in our rental fleet this quarter with net CapEx of $32 million. Our OEC in the rental fleet ended the quarter at $1.47 billion, up by $37 million versus Q3 of last year. We expect to continue to invest in the fleet during the fourth quarter and next year. For Q3, ERS rental revenue was $115 million, a 3% increase versus Q3 2022. ERS used equipment sales for Q3 remained strong at $52 million, up almost 41% year-over-year. ERS adjusted gross profit was $100 million for Q3, up 5% from Q3 of last year. Adjusted gross margin was 59.6% in the quarter and more than 185 basis points sequential improvement from Q2 as rental gross margin remains strong and rental revenue comprised a larger percentage of total ERS revenue in Q3 than in Q2. TES saw another very strong quarter with revenues of $231 million, which were up 33% from Q3 2022. This segment continues to benefit from strong backlog, continued robust inventory flows and record levels of production. Gross profit increased by more than 46% in the quarter compared to Q3 of last year. Gross margin for the quarter was over 17%, a year-over-year improvement of almost 160 basis points. The improvement in TES gross margin reflects the implementation of ongoing production efficiency initiatives as well as maintaining pricing discipline. As Ryan mentioned, record levels of production and continued strong TES sales in the quarter allowed us to make headway toward reducing our backlog to a more normalized level. Our backlog ended the quarter at $779 million, which is 10% higher than at the end of Q3 2022. We believe the persistent strength of the TES sales backlog reflects sustained long-term demand for equipment, indicative of our favorable end market dynamics, a strong market share gains and our pricing discipline. As this quarter's TES results show, we are confident we will be able to hold margins at or above the average we experienced for all of 2022 over the coming quarters, even with continued elevated levels of inflation. Our APS business posted revenue of $36 million, up 4% versus Q3 of last year. The adjusted gross profit margin in the segment remained strong and in line with expectations at 28% in Q3. Since initiating our stock repurchase program in the third quarter of last year, we have repurchased approximately $30.6 million of our stock, including $15.8 million in the quarter. We will continue to repurchase our stock when we feel the market price provides a compelling opportunity to create value for our shareholders. Borrowings under our ABL at the end of Q3 were flat compared to the end of Q2 with the outstanding balance of $492 million. As of September 30, we had $255 million available and approximately $290 million of suppressed availability under the ABL with the ability to upsize the facility. With LTM adjusted EBITDA of $433 million, we finished Q3 with net leverage of 3.3x, an improvement of 1.3 turns since the close of the transaction with Nesco in April 2021 and down slightly from last quarter. Achieving net leverage below 3x remains our target. However, given the level of share repurchase activity this year as well as the continued investment in working capital in our rental fleet to meet demand, our ability to achieve our leverage target by fiscal year-end will be delayed until later in 2024. The 3x leverage target remains an important component in our assessment of how we best invest capital to grow our fleet, to expand our production capacity, to invest in working capital for future growth, to make prudent acquisitions and repurchase our stock, all with the goals of maintaining an appropriate level of liquidity and creating long-term shareholder value. With respect to our 2023 outlook, we believe ERS will continue to benefit from strong demand from our rental customers as well as for purchases of the rental fleet units, particularly older equipment for the rest of the year. While we continue to expect to make gross investments in our rental fleet of more than $400 million this year, stronger-than-anticipated demand for rental asset sales will result in net growth in our rental fleet based on an OEC being more modest than mid to high single-digit percentage growth that we expected earlier this year. Regarding TES, continuing supply chain improvements, improved inventory levels and record backlog levels should improve our ability to produce and deliver more units than previously expected in the coming quarters. As a result of our improved outlook, we are updating guidance for our segments as follows. We expect ERS revenue of between $710 million and $745 million, TES revenue in the range of $910 million to $970 million and APS revenue of between $145 million and $155 million. As Ryan mentioned previously, this results in total revenue in the range of $1.765 billion to $1.87 billion, and we continue to project adjusted EBITDA in the range of $425 million to $445 million. In closing, I want to echo Ryan's comments regarding our continued strong performance. Our successful combination with Nesco has put us on the path to continue to deliver strong revenue and adjusted EBITDA growth to hold or expand margins in an inflationary environment and to reduce leverage, all while providing the highest levels of service to our customers. With that, I will turn it over to the operator to open up the lines for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Scott Schneeberger with Oppenheimer. Please go ahead.
Daniel Hultberg: Hey, it's Daniel on for Scott. Thank you for taking our question. Could you please elaborate on the fourth quarter outlook for rental revenue? I mean, the guidance for ERS was up. And it was nice to see utilization improve at the end of the quarter. So if you can elaborate a little bit on utilization expectations for the fourth quarter, how you think about the yield as well as it pertains to overall increase.
Ryan McMonagle: Hey, good to talk to you, Daniel. It's Ryan. I'll start. We're feeling good about overall rental performance. We mentioned in our comments a little bit of a headwind as transmission gear continues to go out and ramp up a little bit slower than it normally does. But I think utilization similar to where we talked about it in the third quarter, will be pretty close to accurate, just given some of the natural falloff that happens at the end of the year. So I think we're – something around there should be about right from a utilization standpoint. Our yield, as you see kind of the numbers we're reporting has continued to increase. So I think that's a safe assumption to think about something fairly consistent to where it is now. And as Chris said in his comments, we did – we have seen an increase in rental asset buyouts. So that will be what we're watching closely as we head through the fourth quarter to figure out exactly what level of buyouts we see from some of our key customers as they're managing into the end of the year.
Daniel Hultberg: Got it. Thank you. And if we hone in on the end markets, looking ahead, what's the visibility for the utility end market? You noted the expectation for improvement by the end of the year. So if you can elaborate on that, please? And then more broadly, as we look into next year across the end market, if you can discuss the visibility and how you think about timing from the infrastructure build contribution? Thank you.
Ryan McMonagle: Sure. Yes. It's a great question. And we talk about it a lot with our customers and internally, too. We're still hearing great long-term demand. We can say it all starts with that, and so really good long-term demand on both distribution and transmission. When we look at some of kind of the industry aggregators and some of the research they put out lately, it seems to be consistent with that. They're calling for even a little bit more of an uptick in new transmission projects as well, which I think is positive. And there really are two headwinds that we're hearing that are true, both on the distribution side and the transmission side. The first is our customer supply chain, not our supply chain, but our customer supply chain. So that's things like structure, it seems like transformers, it seems like conductor where we are hearing that as a reason that some of the work can't begin or is more slow – is more – is progressing more slowly just because of the availability of that product. And then some discussion about availability of CapEx that is just taking a little bit more time than I think some of our customers initially expected. So great long-term demand. It does feel like we're – it will improve in the fourth quarter and certainly will improve as we head into Q1 of 2024 and certainly, still very positive tailwinds from a macro perspective, too.
Daniel Hultberg: Got it. Thank you. One final from me, please, on supply chain. I mean, it's nice to see that you see that improve. Could you speak to like where do you think you are versus a normal level on the supply chain? How it may look into next year? And you also mentioned production efficiencies, so if you can please give us an update there as well. Thank you.
Ryan McMonagle: Sure. I think supply chain is improving. I think that's probably the most important message. I think it feels as though chassis supply has improved – is improving the most. The chassis availability seems to be increasing, and certainly in chassis classes where the trade-off is over-the-road trucks versus straight trucks. So it does feel like there's more availability in some of those Class 8 chassis categories, in particular. So we see that as a really good facts we had in 2024. Attachment – availability is improving. We're working closely with our partners there. I'm glad to see some of our partners and some of our vendors were – growing even more close to, which I think has been – certainly has been helpful as we think about the levels of production that we've been able to deliver over the last three quarters. So the production team has done a great job of building more trucks sequentially for each quarter for the last three quarters, which we're feeling really good about that fact, heading into next year. We are sitting a little heavier on inventory right now, and I think we will in the long term. And I think that's been strategic and that's been intentional on our part to make sure that we have the product that we need to meet the increase in demand that we're seeing still in the fourth quarter and really as we start to set up next year from a production standpoint and availability of equipment standpoint.
Daniel Hultberg: Thank you.
Ryan McMonagle: Thanks Daniel.
Operator: The next question comes from Tim Thein with Citigroup. Please go ahead.
Tim Thein: Great. Thank you. Apologies for the voice here or lack of. But I guess, the first question I had just on the ERS segment. The swing in utilization that you experienced in the quarter, I'm just curious if that bring about any sort of inefficiencies or added costs? That sounded like a pretty sizable intra-quarter swing. So I guess that's part one. And then part two, just on the ERS, to what you were just mentioning in terms of – to the extent some of these projects you got off to a later start. Does that introduce maybe more of a season – does it alter the seasonality as we think about that business in 2024? Maybe did we start off maybe at a higher rate in the first quarter than we normally do as a result of that? Or is it too early to call that?
Ryan McMonagle: Yes. Good question, Tim. I'll start on the first. We did see – and I think we talked about it, we kind of mentioned at the end of the last – the end of the Q2 call, but we saw distribution utilization slowdown kind of at the end of the second quarter. And in the comments, we mentioned that it picked up 400 – the overall fleet picked up 400 basis points. A lot of that was driven by distribution equipment. And so we did see it return to what I'll call more normal levels. And then the transmission uptick in utilization has just taken a little longer than it normally does this time of the year. And so those are the two dynamics that we're dealing with from a utilization standpoint. It doesn't – when utilization declines, it does mean more – that means more trucks are being returned to shops. It doesn't dramatically increase gross margin. I don't think there was a big move in gross margin in the ERS – in the rental line of the ERS segment, which would be where you want to look to see that. So not a meaningful impact there. And then as you're thinking about seasonality for next year, I'd say it's probably too early to call. Transmission projects are generally much longer-duration projects. So as those go, they typically are a multiyear project duration, so that typically is good for a longer duration of utilization. But I would say too early to call in terms of making any broader comments about significant increases in utilization heading into next year.
Tim Thein: Okay. Okay. And then just a quick one on TES. You had highlighted that across the customer base, there was some impact that's maybe of incremental strength and weakness. And anything stand out there in terms of – or any areas you'd highlight in either of those camps in terms of where you saw activity decelerate or accelerate? Thank you.
Ryan McMonagle: Sure. Yes, good question. I'd say on the accelerate – on the increase side, we certainly were seeing more activity on the infrastructure side of things. So certainly, which for us means a pickup in some categories like dump trucks, water trucks, service trucks, refuse, that type of product. We certainly did see a pickup there. How much of that is related to the IIJA and some infrastructure spend there, I think kind of TBD, we are hearing that those dollars are becoming available more quickly. So I'd say that's been the big pickup that we saw. And I think utility is where we saw some of the slowdown in terms of adding – the net impact of adding incremental backlog. And I think that's just waiting for as these projects go, we'll see that continue to pick back up. So hopefully, that helps a little bit, Tim.
Tim Thein: All right, thanks a lot.
Ryan McMonagle: Thanks Tim.
Operator: The next question comes from Tami Zakaria with JPMorgan. Please go ahead.
Tami Zakaria: Hi, thank you so much for taking my questions. So my first question is on inventory. You mentioned – I mean, we've seen it go up quite a bit sequentially, more than typical seasonality it seems. Is this inventory work-in-progress or finished goods? If finished goods, what categories? And do you expect this to normalize by year-end? Or it could take longer than just one quarter to come back to normal?
Chris Eperjesy: Yes, hi Tami, this is Chris. I think one thing I would point out is the inventory build recently is coming off of a historic low. And so with that, with a little bit of context, as Ryan indicated, we did take a position that we thought having the inventories, we went into a period of significant growth is going to benefit us and that applies to both to Q4 into next year. The answer to your question is there is a little bit of both. So certainly, the increase in inventory, you will see some in it as we're ramping up production. But there's always some churn as we're putting new vehicles into the rental fleet as well as new vehicles as they get titled and we get them to a customer. And so I would say it's not just one bucket, but it's in finished product as well as within – as well as some of our parts and raw materials as well.
Ryan McMonagle: Tami, just for context too, as you think about it, that's the traditional Custom Truck model is to carry some completed whole goods, so we can quickly react to the market to be able to sell the truck or to add it into the rental fleet. So it is getting back to what we would call a more normal level of having some complete available inventory to be put in the rental fleet or to sell as the customers need.
Tami Zakaria: Got it. That's helpful. And then my second question, it could be a little too simplistic, but why do you think selling used equipment makes sense when there's demand and utilization is high? It seems like the sale of used equipment is lowering your net fleet expansion number this year. So any thoughts on that? And how should we think about net fleet expansion growth over the next couple of years? If you could refresh us on your target there.
Ryan McMonagle: Why don't I take the first one, and I'll let Chris take the net growth rates. We sell used equipment coming out of the rental fleet because as it ends – as it approaches the end of its useful life, right, it's time to sell, right? And so we will sell assets out of the rental fleet when our repair and maintenance expense increase as assets age. So we have kind of our own model, when is the optimal time to begin the dispose of an asset. So I think that's certainly one piece of it. The second is residual value stay strong in the used market. We think it is a good time to be able to sell used assets. And then the other thing that I think Chris mentioned in his comments was when customers come to us and say, hey, I want to buy this truck that I have or this piece of equipment that I have on rent, we will engage in that discussion when it makes sense as well. So those are the reasons that we sell. As we've talked about in the past, we manage through a ROIC, to a lifetime value ROIC on assets, and that's what we've talked about. The incremental asset is generally generating kind of high teens, low 20s annualized ROIC, which we think is a great way to deploy capital. So that's where we're really comfortable with that overall ROIC on each asset. And then I'll let Chris take the comment about fleet growth and how it's changed a little bit because of the asset base.
Chris Eperjesy: Yes. And one other thing I would point out, Tami, in Ryan's comments earlier, he did talk that we continue to see a reduction in the age of our fleet. And so I think that's an important part of selling some of the aged equipment. And so our – as Ryan indicated, our fleet age is at 3.5 years now, and we believe that is the youngest in the industry. In terms of kind of looking forward, we had given guidance this year that we thought we'd be able to grow the net – what we see by mid to high single digits. I think that continues to be a good way to model it as you look out over the next couple of years.
Tami Zakaria: Great, thank you.
Ryan McMonagle: Thanks Tim.
Operator: The next question comes from Justin Hauke with Robert W. Baird. Please go ahead.
Justin Hauke: Yes. Hi, good afternoon. I guess I just wanted to ask about the implied revenue guidance for 4Q, the $105 million range. It's like 8% growth at the high end, and it's a 13% decline at the low end. So I guess, I was just curious the variability between those. I mean, it seems like working down your backlog from the sales inventory is pretty well known. And I guess the variability is how much you put out on the rental fleet based on that utilization uptick? Or just what are the puts and takes for the top and the high end of the guidance assumptions for 4Q?
Chris Eperjesy: Hi, this is Chris. I think the way I would characterize it is we don't see each one of those segments coming in at the low end of the range. And so that's probably not a scenario we see, obviously, as you put those ranges at the low end and at the high end. The variability, certainly, we've kind of given you a sense of where we think utilization is going to be in the quarter, and the rates have continued to improve. The rental asset sales, that tends to be a little bit more challenging to predict in terms of what customer demand is going to be a month or two months from now. And so that's one area where there could be some additional variability. Same thing on the new equipment sales. While supply chain has certainly improved, there can be potential issues there if we don't have certain equipment or just the timing to get goods title, get them off the door at year-end, could play a little part in that as well. And so that's why we gave the broad range. But I would say we feel comfortable that we're certainly not going to be at the low end of that range.
Justin Hauke: Okay. And then I guess, my second question is just on the capital allocation and the decision to kind of accelerate the buybacks here in the quarter and keep the leverage a little bit higher. I mean, maybe the question is what is right now the weighted average interest rate on the ABL and kind of thinking about how you want to prioritize debt repayment versus continue to buy the stock given that it's kind of stayed at these similar levels?
Ryan McMonagle: If I understood one of your questions, I think you asked what was the average interest rate on the ABL, and that it's a little over 7%. I want to say it's roughly 7.2%.
Chris Eperjesy: Yes. But Justin, I think the way we're thinking about it, so we're comfortable with that marginal cost right to borrow at 7%. I think that's number one. But two, we just continue to believe that with the growth that we've put up, right, between EBITDA growth going from $290 million – $291 million when the deal closed, $433 million now on an LTM basis and leverage trending down from 4.6x to 3.3x, that where we're trading from a multiple of you – or whatever multiple we want to use, just we think it's a great use of capital to continue to reinvest in Custom Truck. The management team feels that way. Certainly, the Board feels that way, which is why we made the announcement in the quarter of increasing capacity from a buyback standpoint. So we just feel like it is an incredibly compelling use of capital if we're going to continue to trade kind of where the stock has been trading for the last several months.
Justin Hauke: Okay, great. Thank you
Ryan McMonagle: Thanks Justin.
Operator: The next question comes from Mike Shlisky with D.A. Davidson. Please go ahead.
Mike Shlisky: Good afternoon and thank you for taking my questions. I want to follow up one of your answers earlier about the sales of this equipment on the rental fleet and the fourth quarter outlook there. If we look to like last year, quarter-over-quarter, I believe those sales doubled than previous years and there was a M&A but there was a further uptick from the third and fourth quarter in the sale of used equipment. Can you comment on whether you said that to happen this year? And just what is that all about? Is that more just maybe seasonal flush out at the end of year of anything used, or it's certainly you're taking up as far as fleet needs during that particular time of the year, et cetera?
Ryan McMonagle: Yes. Let me – Mike, let me start. You were a little broken up at the end of your questions, but I think I got it. We don't expect the fourth quarter to be as high as it was last year. We still think there's a lot of demand for equipment. But I think we certainly don't expect it to increase the way it did last year. So I think there is good demand. We don't think it will be as significant or certainly a significant of an increase there. But it will be – and that is the hardest part of our business to have a forecast. The reason, which I think the second part of your question, Mike, was around why the reason our customers are buying there is they're managing their own CapEx plans, CapEx budgets, that's when there is, oftentimes, kind of a meaningful increase in the fourth quarter. And so we will see how that plays out. So I think Chris made some comments in his call and made some comments around the fact that demand continues to stay strong.
Chris Eperjesy: Yes. And maybe just one thing to add, Mike, this is Chris. If you look back at last year, well, if you look at our guidance, our guidance range has the potential that we can beat last year both in terms of EBITDA and in terms of revenue. But I would also point out, as you look at the comp year-over-year, we're comping a Q4 last year that had 30% EBITDA growth, 40% ERS revenue growth and 40% new equipment sales growth. So it's a pretty big comp that we're going to have. And then you'll probably remember last year, in Q4, Ryan had said for a number of quarters in the role that historically, the ceiling we thought for utilization was in the low to mid-80s, and we posted significantly better than that in Q4, intra-quarter and then had 86% utilization for the quarter. And so as you look at the quarter, we're confident it by far the best quarter we've ever had. But we still believe, based on the guidance we gave that we have the potential to beat that.
Mike Shlisky: Got it. I wanted to ask secondly, maybe just real quick footprint update. I want to see how it was going in the new [indiscernible]. A little bit about what the new facility is all about in North Dakota. I'm curious if you had any had near-term impact on utilization or pricing, et cetera, as you try to get into that or expand into that territory or be better and more. Do you have any other plans for new footprint in 2024?
Ryan McMonagle: Mike, again, apologies. I think your questions were around footprint. It was coming through a little bit broken up. But the new production locations that we announced in Union Grove in Kansas City are doing well. The Union Grove facility is online and producing. It is actually producing at incredibly high levels already. So I think that's been quick to come online and was doing very well. Kansas City construction is proceeding, and I think we're in a very good spot to begin. We are starting to move into the facility now and will be moved into the facility later this quarter. So I think we're making good progress on those. And then you're correct, we announced that we moved into a new location in Williston. We're excited to have that location in our footprint. That's been really to service some of our customers up in that area, and is off to a good start. And then new in 2024, I think we've committed to – we have a new location coming in Northern California that will open early in 2024 before we speak again for our Q1 earnings call. And then we have one more location out West that that we're still finalizing the date that we'll move into. So those two are on the table. And then there are a few more locations that we're working on. And some of the markets that we've talked about more broadly, they will be ready to share as those leases become firm or if we're purchasing real estate, as those purchases are completed.
Mike Shlisky: Great. That sounds great. I appreciate the discussion. I'll pass it along. Thank you.
Ryan McMonagle: Thanks Mike.
Operator: The next question comes from Nicole DeBlase with Deutsche Bank. Please go ahead.
Nicole Deblase: Thanks. Good evening, guys.
Ryan McMonagle: Hi Nicole.
Chris Eperjesy: Hi Nicole.
Nicole Deblase: Maybe just starting with TES backlog. Where are lead times today relative to what you would consider normal?
Ryan McMonagle: That's a great question. In the IR deck, we actually added a table to show kind of backlog in terms of months on hand too, and to show it historically trended. So back in early 2021, we were averaging four to five months of backlog. We're using kind of an LTM number there to calculate months. Today, we're at 10 months on hand, and our peak was at just over 12.5 months on hand. So we're still higher than we've averaged historically. And so we're – candidly, we're happy to see that it's kind of getting back to something closer to a normal perspective. But I think in the past, we've said somewhere between four and six months, probably feels about right from a normal, if there is such a thing, from a backlog perspective. So we're still really almost double that from where we sit today.
Nicole Deblase: Got it. Okay. That's good color. Thank you. And then in the manufacturing business also, are you guys starting to see any sort of cost relief, whether it's like logistics cost, material cost, anything on the input side? And maybe is that kind of expected into 2024 perhaps?
Ryan McMonagle: We're seeing a mixed bag when it comes to inflation into our component costs. So still some of our attachment providers and some of our chassis providers are still talking about cost increases heading into next year as we're having our pricing discussions. But Nicole, you're right, on the raw material side for some of our manufactured components, we are starting to see a few price decreases. Not meaningful that I would say that we would expect any kind of significant – we think it will be a bit of a cost offset on some of the cost increases that we're seeing, but we are starting to see in a few areas to have a little bit of a concession from a cost standpoint.
Nicole Deblase: Thank you. I'll pass it on.
Ryan McMonagle: Thanks Nicole.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Ryan McMonagle for any closing remarks. Please go ahead.
Ryan McMonagle: Thanks, everyone, for your time today and your interest in Custom Truck. We look forward to speaking with you on our next quarterly earnings call. And in the meantime, please don't hesitate to reach out with any questions. Thank you again, and have a good night.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.